David Guengant: Good afternoon, everyone and welcome to Solaria 2024 Annual Results Webcast. My name is David Guengant, the Head of IR of Solaria. And I’m joined today by Arturo Diaz-Tejeiro Larrañaga, our Chief Executive Officer. During this call, we will discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. During this presentation, we will give – we’ll begin with an overview of the results and the main development during this period given by our CEO, Arturo. And following this, we will move on to the Q&A session. I will also like to highlight that you have to submit all your questions via the web. Thank you very much. And I will now hand over the word to Arturo.
Arturo Diaz-Tejeiro Larrañaga: Great, David and thank you to everyone joining the conference call. And we are going to start, like always, first around the presentation and then Q&A session. And of course, we have the first slide is new era of growth and because I think that Solaria, as you know, is moving the business model. Now, we are involved not only in the generation business, in the solar and wind generation business, we are moving our business to other parts, other new developments. Real estate business associated with renewables, Generia, and data center business. That is one of the key parts of our future strategy during the next 5 years. And we are going to start, and we will explain. First, results. More than €200 million of EBITDA and I think that we accomplished with all the financial numbers that we mentioned to the market in previous results presentations. And we maintain and even increase some numbers like EBITDA. And as you know, last year was extremely tough from price of electricity point of view, and it’s something that obviously has affected our numbers. But even with this hopeful situation from prices point of view, we have maintained and even increased revenues and EBITDA numbers. And we achieved more than €200 million of EBITDA. That is good number and it’s according with our projections. 2025, we reaffirm our EBITDA target for 2025, and we will try during this call to give more visibility to this EBITDA target. But we have established the EBITDA target for 2025 between €245 million to €255 million. Energy, we continue constructing. We have – we are leaving a rush hour around construction. As you know, we are involved now in the construction of more than 1.5 gigawatts of capacity, especially focused in Spain. And in the short term, during this quarter, we are going to add additionally other gigawatt. We have today more than 3.1 gigawatts of capacity ready to build that, and we will start construction soon during this year, probably. It’s like globally, Solaria probably in 1.5 years we will have a completely different photo of the company, situation and photo of the company, with several gigawatts functioning connected to the grid. Probably, we will be the leader globally in Europe from a solar perspective and especially, obviously, in Iberia region. We continue with our strategy of hybridization with wind and with batteries. Today, in Iberia from wind perspective, we have a global portfolio of 2.2 gigawatts and that will start construction in the next years and that we are going to combine with the solar technology that we have constructed in these connection points. And at the same time, we are investing money, and we are investing in the development of batteries and in the inclusion. Now we want to include in all of our projects, especially in Spain, batteries and wind. It’s a global combination of technologies that will support a lot, especially supplying electricity to final customers. Business, new business that we have opened, and we have explained in previous conference call, Generia. We have signed a pre-agreement with an infrastructure fund, a U.S. infrastructure fund that will cover an increase of capital inside of Generia of €125 million. It’s something that secure completely the growth of this company. As you know, today, the assets that we have inside Generia are full equity. We are going to reside a cash position of €125 million for the 50% and we will combine with debt that we will add to Generia. And we think that in the next 2, 3 years, the growth of this part of the company will be incredible. We are extremely excited with this new company that we made 2 or 3 years ago. But finally, we are obtaining results and we’ll see a strong growth during the next 3 years around Generia. Data centers, today, in Europe, all the people is talking about data centers and the growth of data center. The enormous demand that will generate the data center players and probably Solaria is the leader, one of the leading companies in Europe associated with data centers. We have a lot of demand points, and we will explain during the presentation. Of course, numbers, as I have mentioned, we increased the production, we increased the sales. It’s an extremely hard and tough year from price point of view, as I have explained. We maintain numbers and even we increase. And the explosion from production and sales and EBITDA point of view will come probably in 2025, 2026 because we are going to add massively an enormous amount of megawatts. And it’s something that will have a serious impact in our numbers in 2025 and in 2026. And all the efforts that we have made during the last 3 years for developing, for constructing, we will see the results during this year and next year. Of course, resilient EBITDA. We maintained and even increased EBITDA, if you compare with 2023 with 2 problems that has impacted seriously our numbers, especially price of electricity, as I have mentioned before, and the new tax approved by the government. 7% of our revenues that has affected our OpEx cost, but it’s a serious impact. This year, this 2024 was €7 million and probably in this year will be much more. Investments, we have done an enormous amount of investment. We have invested enormous amount of CapEx, and we maintain the level of cash. We continue using project finance structure. We have increased the project finance, and we will increase during the next years according with our construction redeem. Our financial debt, as you know, is 93% project finance, fixed interest rate, 13 years of tenure, project finance residual tenure lifetime. Of course, EBITDA. EBITDA of 2025 especially focused on 2025. We have estimated that during this year, we will have an approximately average price of electricity of 45. As you know, we combine fixed price under PPAs and merchant price. That is around 35, 65 approximately. And we have estimated 45 of merchant prices, average price. I think that sounds good today because we will talk about the evolution of price of electricity. But today, we are satisfied with the situation of price of electricity, solar price of electricity. And at the same time, our infrastructure business continues growing and the combination of both results give to us the number of €245 million to €255 million. We haven’t included nothing extraordinary here, nothing associated with Generia and nothing associated with data center. Of course, evolution of capacity. This is the key point. As you know, after a lot of delays during the last years, we are now involved in a massive construction period. And hopefully, during this year, we are going to incorporate to our balance sheet more than 1.4 gigawatts connected to the grid, that it will be an enormous – it’s a completely change. We are going to change completely the phase of the company from 1.6 gigawatts to more than 3 gigawatts only in a few months. And we have included here quarterly connection report, and it’s something approximately, but we will try to advance, but this is an approximation to the quarter connection of megawatts that we will execute. Of course, we have included 2026. As I have mentioned, we have reside, especially during last year, an enormous volume of ready-to-build permitting process. Today, we have a lot of projects that could start with the construction. I have mentioned that in the short term, we will start with 1 gigawatt of new capacity. That we will start with the construction and probably for the second half, we will add additionally more than 2 gigawatts of new construction capacity. It’s an enormous effort that we are making for achieving the position of leader in renewables in Europe because – what does it mean at the end of 2026, we are going to have more than 6 gigawatts connected to the grid. Power price, you know that 2Q, especially 1Q of last year, 2Q was awful from price of electricity point of view. Last quarter of 2024 was good with a really good price of electricity. First quarter, it’s in a great situation. We have included here the average price in the market, not the final price that we reside, but it’s the average price in the market. In January, it was €85 per megawatt hour. In February, €78 per megawatt hour, it sounds like if you compare with 2024, it’s completely different situation. Our March forward is positive. I think that even could be better than the number that we have included here in this slide, 48. It sounds like this year, probably price of electricity will stay in a better position and a better situation, and it’s something that obviously affects seriously our accounts. Batteries, you know that the Spanish government has changed the law. Now we are able to include batteries. It’s a good step, an important step because you know that in the past, to establish batteries not – it wasn’t for Biden, but at the end of the day, it’s from a technical point of view, you weren’t able to connect batteries for different reasons for technical law. They have changed the law. Today, it’s possible to install batteries. And the good point is that at the same time, government is going to establish a new capacity market. I think that, we will see globally in Spain installations, massive installations of batteries in different PV assets, and we will participate, obviously. And it’s something that will extend hours of sun radiation at the end of the day because we are going to be able to sell electricity more hours than in the sun hours only. Wind, we continue thinking that the perfect hybridization is with wind. And we have today permitting process on site for 2.2 gigawatts. That is a lot. And probably we will receive ready-to-build permitting process during this year and next year, and we will start with the construction of wind parks. That is extremely important in our global strategy. Generia, you know that 1 year ago approximately or 1.5 years, we present – we showed to the market Generia idea and business plan. Honestly, I think that it wasn’t, including any analyst report, a valuation. But we believe strongly in this business idea. We think that this real estate is a combination of real estate and renewables. It has a lot of sense with really good levels of project IRRs. We started with a process to attract a partner around 6 months ago approximately. We have received – it was a great surprise because we have received a strong interest from the market. I don’t remember, if it was 9 or 10 proposals from funds, serious funds globally from all over the world showing strong interest to entry in Generia like partner with 50% of the shares of the company. In the last part of the process, we decided to work with two players. And finally, we have decided to sign with one infrastructure player from United States. And we are today under due diligence. And hopefully, in 2, 3 weeks or 4 weeks, we will close the deal. And of course, we will start with the business plan of Generia. Our intention in Generia is to develop, to acquire massively land in extremely short term, to grow the company and probably in a normal, and logical period of time that could be 3, 4 years to sell the company and to obtain strong profits associated with Generia. Data centers. We have included several slides. I’m not going to lose too much time explaining this. I think it’s interesting to understand the situation of data centers, especially in Spain, especially the concept of self-consumption because players that use self-consumption data centers point, they are going to save money in the PPA price. They are going to obtain electricity with lower price. It’s extremely interesting. I think it’s an important advantage for players of data centers. It’s something that we saw a long time ago, a long time ago, and it was 18, 24 months. We started to work over there. And the good point today, Solaria is the global leader from connection points or consumer points for data centers. We have today more than 600 megawatts. Probably in the short term during March or April, we will confirm additionally more megawatts. Probably we will pass 1 gigawatt, and we will achieve 1.5 gigawatts of data center connection points. It’s really good because we see a lot of value inside this company, this new brand, this new business plan, this Solaria data center. In order to explain correctly, Solaria in the data center field, in the data center business is the power and land supplier to data center players. We are the energy company that will supply power, land and PPA to the data center companies. We are not going to stay involved in the data center technology. We are going to be the supplier of connection point, consumer point, land and the PPA. It’s a business that doesn’t require CapEx. It’s a business that will generate cash. Today, we are in the market talking with all the players of the market with a strong interest, and we have 5 agreements signed that is under negotiation and under due diligence with some of them executing due diligence. And we are satisfied. We have obtained, as you know, because we have announced in the last weeks, we have obtained two important points in the last weeks in the two locations in Madrid and in Basque Country. I think that in the short term, we will report more connection points, more consumer points for data centers. And we think data center strategy will give a lot of cash to Solaria and will give a lot of positive news in the short and medium term. I think that we are starting two options, two business model options because we have received a strong interest from infrastructure players, infrastructure funds that wants to entry directly in the shares of the Solaria company in the Solaria data center company with 50%. And we are receiving a strong interest from specific players involved in the data center business that wants to acquire assets of this company. And we will report to the market as soon as we close firmly agreements. And hopefully, I think that during 2025, first half, second half, we will report a lot of good news around data center business. Of course, we have included several slides that it’s interesting to see and to understand that when you are using self-consumption points, you are going to save money in your PPA. As I have mentioned, today, we have a good volume of capacity secured ready to be sold. And hopefully, in the short term, we will add more. And I think that I have explained. I think it’s timing for delivery, and we are on it. Of course, the growth of data centers, you know perfectly. Probably Europe, as always, they are moving with delay around this business. In the United States, we are living a crazy hour around data centers and will continue. And in Europe, we are in a significant lower position if you compare with the United States. But we are obligated. We are obligated to establish data center. At the end of the day, European Union knows that if you want to manage data from the citizens of European Union, you are obligated to establish the data center in Europe. And I think that has a lot of sense with this obligation to establish in Spain. Spain is a really good hub from price of electricity point of view, because we have really good price of electricity. We have a lot of renewables installed and we have really good grid, exceptional grid and connection capacity. It has a lot of sense for Spain and for Iberia region to establish massively data centers. And we will see the evolution in the short term, but we are extremely positive about the growth of this business. And Solaria today is probably the leading company around data centers from provider of solutions, energy solutions. We are the key guy, the key platform in Europe. We are going to continue growing and not only in Spain, globally in Spain, in Italy, in Germany, in all the countries that we are involved. And our portfolio request, as you know, is 2.4 gigawatts. And as I have mentioned, March, April, we will report more new connection points, and you will see. Of course, I have mentioned, we have today under negotiation, a lot of deals associated with connection points that are today inside our balance that are confirmed. Probably these connection points will grow, will grow a lot. But today, we are negotiating around these connection points with different players. Always Tier 1, always the same concept, power land and PPA. We go to the Q&A session.
A - David Guengant: So thank you, Arturo. We will now open for Q&A session. And once again, thank you for your time. The first question comes from Fernando Garcia from RBC. First question, I think we already answered it. What is our power price assumption for 2025 guidance? It’s 45 for merchant prices. Second question from Fernando is, do we expect all the 455 megawatt with construction completed starting to feed to the grid during 2025? If we can disclose maybe more info regarding this completed 455 megawatt and when they will be connected. And then the last question is maybe how we will finance all this plan of PV, hybridization and DC with a cash position of €54 million?
Arturo Diaz-Tejeiro Larrañaga: About the connection schedule, I think that we have included a slide with the exact connection schedule of all the PV assets. I think that it’s public information. And I think that it includes a lot of details. About the situation from a cash point of view and if we are going to be able to finance, I think that we have exactly the same cash position than probably last 7 years. Unfortunately or fortunately, I don’t know. But today, the cash position is better. We have received a lot of project finance payments, especially in January, February, but it’s not significant. Nothing is strange. It’s according with the schedule. But you know that, we are covering our CapEx with project finance. It’s something that we have done in the past, and we continue doing today. And I am not including here nothing exceptional from cash point of view. If we receive, we will see. If we receive exceptional cash, we will use, but not for the construction process.
David Guengant: Next question coming from Daniel Rodriguez from Bestinver. Have you signed any PPAs for the 1.4 gigawatts currently under construction? How are we funding the construction?
Arturo Diaz-Tejeiro Larrañaga: As you know, we have today agreements with our banks that cover all of our construction processing project finance based on merchant prices. But because we announced approximately 2 years ago, and we continue with the support of European Investment Bank following the same principles. But about PPAs and if we are going to cover, you will see in the short-term. I think that as we have repeat in all of our conference call, we think that it’s reasonable to maintain 70% under PPA, 30% in merchant basis. And it’s something that we are going to maintain in the short-term. But today, I think that we have a lot of good news over the table, good results, good new agreements. Next days, we will give more positive news. And on PPAs, we will give more positive news with new customers and in good conditions. But I think that we are not obligated by the banks today to sign PPAs. It’s something that we decide to do.
David Guengant: Next questions are coming from Manuel Palomo from BNP Paribas. Part of the question, I think we already answered. What we expect in energy sales for 2025? I think Arturo just mentioned that it’s 200 megawatt and with merchant price of €45. So, you can do by yourself. And next question from Emanuele [ph] coming from the rationale behind the impairment reversal for the Puertollano factory, is there any specific signed deal backing such a reversal in Puertollano?
Arturo Diaz-Tejeiro Larrañaga: Answer is yes. But we are talking about results 2024. And in 2024 – in 2025 first quarter, we will report information associated with 2025, and yes. And the other question was around the merchant? Okay.
David Guengant: Next question from Manuel, maybe the last one is, can we share some view about financing? Are banks – for the new financing, are banks keen to finance merchant assets?
Arturo Diaz-Tejeiro Larrañaga: I think today, obviously banks, and I think it’s reasonable, I completely agree with them. If you work with merchant, they obligate to be extremely efficient on CapEx. What does it mean, they are comfortable on merchant basis, but you need to include more equity. This is the key point. And in the past, I saw some project finance covering €0.8 per watt, €0.9 per watt, even €1 per watt. Today it’s not – we are not on this page. Today, banks are covering close to €0.4 per watt, €0.45 per watt, sometimes €0.35 per watt. If you are not efficient from CapEx point of view, you need to allocate more equity. This is the key point. At the end of the day, merchant basis or PPA is more equity or less. With PPA, if you have correct prices on PPA, obviously, you have to include in your deal less equity theoretically. But in our case, as you know, the actual situation with our banks and with our lenders around project finance, they are covering 100% of our CapEx.
David Guengant: Next questions are coming from Jorge Alonso from Bernstein. First, can we give some color regarding new PPA in Spain, volumes and prices? Second is battery, are they standalone or co-located? Third one is, can we give maybe some economics regarding the battery, or is it trading? Can we expect some PPA with solar and batteries? And in this case, what could be the PPA price level? Curtailment, curtailment in 2025 were expected in 2026? And maybe last one from Jorge, wind, pipeline, timeline, when we expect to see some wind turbine in our project?
Arturo Diaz-Tejeiro Larrañaga: New PPAs, I have in previous question, I have answered probably in the short-term, we will give color with the signature of new PPA and new PPAs. And we are negotiating big volumes with new players, exciting new customers that trust in ourselves. And I think that, it will be exciting deals. And – but we will see. It’s 2025, first quarter and second quarter. Prices, we are talking about PPAs that could start depending on the player, but 2027, sometimes first day of January of 2027, talking about 36. And batteries, if we are working with standalone or co-locate, it’s from – in order to answer fast, in Spain, we are going to use our solar capacity, our merchant capacity. What does it mean in order to answer your question is co-locate, okay. It’s not exactly co-locate, but I understand your question, it’s co-locate. In other countries, like, for example, Germany or Italy, we are working with a standalone concept. Not only – I think that even United Kingdom, it’s interesting for batteries with a standalone concept. In Spain, I think it’s not necessary, at least in our case, we have a lot of sun capacity, solar capacity, and we have merchant exposure, because we are going to maintain always at least 30% of merchant exposure. And it has sense to use our co-locate batteries with our solar plants. And trading new PPAs for energy, solar and batteries, unfortunately, today the problem, like always is license and permitting process for batteries. It’s extremely simple, but even being extremely simple, we need to receive the positive answer from the authorities for our batteries. And hopefully, I think that during the next quarter, we will report information about ready-to-build concept around batteries. But it’s still too early in our view to sign PPAs because we don’t have visibility about this ready-to-build concept on batteries. Curtailments, as you know, the situation I think it’s improving. Obviously, if we increase demand, especially that could come from hydrogen, from data center, it’s something that could reduce in some points, the curtailment effect. As you know, in our power plants, it’s not one of the key problems because it’s something that is affecting especially Andalusia and Extremadura regions. Unfortunately, we don’t have plants in Andalusia, and we have not too much capacity in Extremadura. In the place that we have massively volume of solar plants, Castellón, Castile-La Mancha, we don’t have curtailments. Wind, I have explained 2.2 gigawatts on the hands of the ministry. They decided the redeem, because we are ready to start with the construction or whatever or we want to start now, but we need to pass through the ready-to-build process. And what does it mean, 1 year, month, six months, 1 year, we need approximately this period of time for receiving ready-to-build concept.
David Guengant: Next questions are coming from Philippe Ourpatian from Oddo. First question is, is our EBITDA 2025 guidance still integrated €25 million of capital gain? And the second question from Philippe is, what are we thinking about Solaria valuation between becoming private or remaining listed looking at the trend of the stock price?
Arturo Diaz-Tejeiro Larrañaga: Of course, this is – it’s complicated always from a legal point of view to talk about these kind of things, it’s complicated. But in order to mix both, I think that today, we are in a blackout period as I have explained in the last conference call, and it’s difficult to start with a capital gain in the extremely short-term. And this is linked with your second question to become private. The company is always receiving non-solicited proposals from third-parties. And I appreciate a lot the interest inside in the company. I think that it’s extremely interesting, because the stock markets are not recognizing the value of the company. Honestly, I think that the state today in the stock market hasn’t got sense. It’s stupid because people are not focused on valuation or if data center is going to – they are focused on global issues. And you know that our colleagues, especially renewable energy companies, they are extremely affected by USA new government. You know that, there are a lot of impairments that comes from the offshore wind in United States. But unfortunately, or fortunately, but solar is not involved in United States. Solar is not involved in offshore applications, wind applications. And unfortunately, because I think the United States is a great country, but unfortunately, we don’t have business in United States. Europe continues supporting the growth of renewable energies in all the countries, I think and the growth will continue. But obviously, the stock market don’t differentiate too much, and we are all in the same box. And my view is today, public markets are not recognizing value to the renewable energy companies. What could happen, we will see. We will see. And we will see.
David Guengant: Next question is coming from Henry Tarr from Berenberg. Are we seeing any barriers to connect the 1.4 gigawatt of capacity that is under construction today this year? The second question is how we will finance the 3 gigawatt target for new – 3 gigawatt target for 2026? The last question of Henry is, do we think that the introduction of storage into the Spanish power will help to push average capture solar price higher?
Arturo Diaz-Tejeiro Larrañaga: 1.4 gigawatt of capacity depend of ourselves. We are constructing today. And this, we are trying to push all the subcontractors in order to advance the connection because the price of electricity is really good. I think that this year, we will see a really good price of electricity, especially in the summer. And we are pushing all the people in order to connect as soon as possible. It depends on Solaria today, not barriers, not third-parties. It’s our work. We are constructing all together. And I think that we have achieved a good rhythm, and we are trying to improve. But during this year, we will try to make all of our efforts in order to connect as soon as possible. We have given strict schedule, and we are going to accomplish and we will try to improve. About the financing of the 3 gigawatt, I think that, probably it’s probably April, we are going to announce a global deal with project finance banks that will support this new construction process. I think that, as you know, when we have global agreements or master agreements with some entities like European Investment Bank and other players, probably they will be or not, but probably they will be involved in this new deal, and we will continue with the same players, banks that has supported Solaria during all of this period. I am not nervous around this. The batteries that could affect the price, we need to see. We need to see. Obviously, it’s like today, we are able to sell electricity 6 hours, 7 hours depending on timing of winter or summer, 6 hours, 7 hours between 10 hours to 6 hours, 7 hours per day. And with batteries, we are going to extend this period. Obviously, it’s serious. It’s something that could affect not only solar PV technology, will affect wind, will affect nuclear, will affect gas, will affect all the players because with batteries, we are going to be more efficient, and we are going to be able to sell electricity more hours per day.
David Guengant: Next question is coming from Victor Peiro from GVC Gaesco. Can we elaborate a little bit more regarding batteries project? And are we already signing procurement of batteries?
Arturo Diaz-Tejeiro Larrañaga: Yes. I think that, we are going to start with one project of 50 megawatts. Probably in the next weeks, we are going to announce with a supplier, a new deal of batteries and the destiny of these batteries. That will be allocated in the first half of this year. It will be construct, allocate and connect in the first half of this year. It’s not too much because it’s 50 megawatts, but it’s not watt. It’s the beginning. It’s the beginning of this new revolution associated with batteries, and it will happen in the first half of this year.
David Guengant: Next question is coming from Marina Fuentes from Morgan Stanley. Capacity addition, how many megawatts have already received all permits from the administration? And the second question is what level of production do we expect to have in 2025 to reach €245 million, €255 million? I think we already answered to this question. It’s roughly average capacity of 2,000 and load factor is above 1,800 hours. And for the first question, if we can give more color about the permitting for this 2025, 2026?
Arturo Diaz-Tejeiro Larrañaga: Permitting except wind is on site. We have permitting process ready-to-build, except wind, that I have explained that probably during this year, we will receive positive answers. And the other part is ready to build. It’s something that depends on the announcement that I have mentioned of project finance structure, new project finance structure that we are negotiating now with really good interest rates, if you compare with large deals signed by Solaria, and that we will probably report to the market, it depends, but April could sound reasonable.
David Guengant: Maybe last question from Fernando Lafuente from Alantra. In addition to Generia and this is a subsidiary, are you planning asset sales related to the pipeline as we did in 2024? And second question is, can we refinance merchant project finance once the asset is in operation?
Arturo Diaz-Tejeiro Larrañaga: No. We are not planning to sell assets, not at least today. We think that, we will receive strong cash from our data center business. It’s a revolution inside the company. I think that Generia with this deal, it’s in a well-financed situation for the growth. And Solaria with all the project finance and all the situations, it’s in a well-financed situation. I think that, it’s not necessary to rotate assets or similar. We will see if the price evolution of the assets has sense. It could have sense if the price is good. If we obtain really good prices, it could happen. But today, honestly, we are completely focused on growth. Growth is Generia, growth is data center business, growth is new generation, growth is new countries. People that stay at the same time in different fields at the same time, usually make a lot of mistakes. And probably next CEO in this company in some years will start to sell a lot of assets, and he will be an expert on the M&A, and he will rotate a lot. My job here is to grow, to grow using not too much cash because we are poor as I always explain. And my job is to consume not too much cash and to grow. It’s a difficult combination, but this is my job today. And the refinancing process, it has a lot of sense, because interest rate is in a different situation today. It has sense to make or to execute a refinance process for some assets, especially because some of them, they have repaid a lot of debt, and they have a really good situation from volume of debt, but not rush hour around this. It will happen. We follow the message of VCE, the Central Bank, European Central Bank. We think that in the next quarter, we will see a positive evolution of interest rate reductions, additional reductions, probably slow reading than predicted, but positive reduction of interest rates and it could have sense to make a global refinancing process. But we are not extremely worried about this. It’s something that could happen in the future, but honestly, it’s not something critical for us today or in the next quarter. It could happen if it has sense from price point of view.
David Guengant: So, thank you for joining in today’s call, and I will hand over the word to Arturo to close this call. Thank you very much.
Arturo Diaz-Tejeiro Larrañaga: Thank you. I think that – thank you very much for being part of this conference call. As I have mentioned, it’s a really tough time for renewable energy companies globally. It’s like, it’s not sexy today, renewable energy technology, especially in United States. But I don’t care too much about this. At the end of the day, I care about generation of cash, good business with good project IRRs. It doesn’t matter if it’s this or this other or if it’s exciting the market with this or the other. I think that, if you are able to generate good cash and good project IRR, it’s a good business. Around renewables today, you have a lot of new business that are burning like data center business or this real estate business and generation, it’s in a better situation than 1 year ago. I think new countries, and as I always have explained, I don’t see as negative as the market, the price of electricity for the future, and we will see the evolution.
David Guengant: So, thank you very much.